Operator: Good morning. My name is Nicole, and I'll be your conference facilitator today. At this time, I would like to welcome everyone to the AAM Second Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn your call over to Mr. Christopher Son, Director of Investor Relations, Corporate Communications and Marketing. Please go ahead, Mr. Son.
Christopher M. Son: Great. Thank you, Nicole, and good morning to everyone. I'd like to welcome everyone who is joining us on AAM's Second Quarter 2013 Earnings Conference Call. Earlier this morning, we released our second quarter 2013 earnings announcement. You can access this on the aam.com website or through the PR Newswire services. To listen to replay of this call, you can dial 1 (855) 859-2056, provide the reservation number 14713803. This replay will be available beginning at noon today through 5:00 p.m. Eastern Time, August 9. Before we begin, I would like to remind everyone that the matters discussed on today's call may contain comments and forward-looking statements that are subject to risks and uncertainties which cannot be predicted or quantified and which may cause future activities and results of operations to differ materially from those discussed. For additional information, we ask that you refer to our filings with the Securities and Exchange Commission. Also, during this call, we may refer to certain non-GAAP financial measures. Information regarding these non-GAAP measures, as well as a reconciliation of these non-GAAP measures to GAAP financial information, is available on our website. We are always happy to host investors at any of our facilities. Please feel free to contact either myself or Liz Ventigmilia to schedule a visit. With that, let me turn things over to AAM's President and CEO, David Dauch.
David C. Dauch: Okay. Thank you, Chris, and good morning to everyone. Thank you for joining us today to discuss AAM's financial results for the second quarter of 2013. Joining me on the call today are John Bellanti, our Executive Vice President of Worldwide Operations; and Mike Simonte, our Executive Vice President and Chief Financial Officer. To begin my presentation today, I will first provide highlights of AAM's second quarter of 2013 results. I will also review the status of AAM's key business initiatives before turning the call over to Mike. After that, we will open up the call for Q&A session, as we always do. Let me first state that AAM's financial results in the second quarter of 2013 were highlighted by solid sales growth and improved profitability. AAM's second quarter financial results include the following: First, for the second quarter of 2013, AAM sales were approximately $799.6 million. This marks the 14th consecutive quarter of year-over-year sales growth for AAM. Second, our net income was $25.8 million and earnings per share was $0.34 in the second quarter of 2013. Third, adjusted EBITDA increased 130 basis points sequentially, to $102.3 million in the second quarter of 2013. AAM's EBITDA margin in the second quarter of 2013 was 12.8% of sales, beating what we had indicated earlier. AAM is benefiting from a strong recovery in the North American light truck market, as well as the launch of many new products designed to help our global customers increase fuel efficiency, reduce emission, improve safety, ride and handling performance. The combination of these factors and the continued progress on our operational efficiency positions us to continue improving AAM's financial performance in the second half of 2013. Mike will cover additional details of our financial results later in this call. Let me now shift gears and update you on AAM's continued progress on our aligned business strategy. This strategy is designed to build value for our key stakeholders and emphasize AAM's continued commitment to quality, operational excellence and technology leadership. First, AAM is delivering quality. We continue to be intensely focused on maintaining AAM's high-quality standards. This is the foundation of AAM's world-class delivery, warranty, durability and reliability performance, which is second to none. Over the last 10 years, AAM has operated an average of less than 10 discrepant parts per million. This is an industry-leading quality performance. At AAM, we strive to produce quality products every day. This is a foundational principle that drives our associates to provide exceptional service and value to our customers. Our commitment to consistently delivering industry-leading quality enables AAM's to attract new business partners and keep our existing customers coming back for more. Second, AAM's operational performance continues to improve. AAM's gross profit in the second quarter of 2013 was 150 basis points higher than our first quarter result. We are targeting even higher profit margins in the second quarter -- or the second half of 2013. The improvement in our profit margins is significant and reflects our commitment to operational excellence and effective global launch performance. Critical AAM launches in 2013 include the following: First, AAM is proud to supported the launch of GM's next-generation full-size truck -- pickup truck program and SUVs, also known as the K2XX program. We started shipping these important new products to GM and of scale in the second quarter of 2013. GM has transitioned 4 North American assembly plants to support the K2XX launch. GM is expected to complete this changeover in the first quarter of 2014. Second, AAM is very pleased to be supporting Chrysler's launch for the all-new Heavy Duty Series RAM pickups in 2013. In our view, market timing for these critical GM and Chrysler launches has been outstanding. The full-size pickup truck market is red hot. We look forward to the opportunity and challenges supporting what we believe will be very strong demand for these powerful new trucks as we move forward. Finally, AAM's third major 2013 launch program is the EcoTrac Disconnecting All Wheel Drive program. AAM is launching this important new program in the third quarter of this year at our Three Rivers manufacturing facility in Three Rivers, Michigan. AAM's innovative EcoTrac Disconnecting All Wheel Drive system enables a vehicle manufacturer to offer a fuel-efficient, environmentally friendly option to provide safety, ride and handling performance of an all wheel drive system for passenger cars and crossover vehicles. AAM's EcoTrac system is an industry first and demonstrates our commitment to technology leadership. It is a great example of how we're using engineering innovation to strengthen our position as a product, process and systems technology leader. The growth in AAM's new and incremental business backlog provides AAM the opportunity to introduce a variety of new products to the global automotive marketplace over the next several years. This supports one of our key business initiatives, which is diversification. Our decision to aggressively invest in the expansion of AAM's product portfolio is paying huge dividends for AAM. Two key metrics to illustrate this point are the following: In 2013, AAM sales of driveline system components supporting the global passenger car and crossover vehicle market will double, growing to approximately $300 million. Approximately 60% of AAM's new and incremental business backlog support this critical diversification initiative. Second, in the second quarter of 2013, AAM's non-GM sales increased $35 million on a sequential basis to $223.8 million. Over half of AAM's new business backlog is non-GM business. These important new sales growth opportunities are demonstrated with important customers like Chrysler, Ford, Daimler, Nissan and others that support our plans of achieving parity in AAM and GM -- non-GM sales by 2015. The third and final strategy update relates to technology leadership. AAM's ability to effectively respond and adapt to the changing market requirements is a primary reason for our optimism in AAM's future growth and profitability. Adapting the design of our Rear Beam Axle portfolio to increase torque handling capabilities, while at the same time supporting our customers' initiative to improve fuel efficiency, reduce emissions and optimize NVH performance, is one important example of AAM's ability to gain new sales content by leveraging product, process and system technology leadership. Another example of AAM's technology leadership is a recent commercialization of our e-AAM hybrid and electric drive systems. On July 9, 2013, we announced that AAM has secured a new contract with Qoros Automotive Company that features AAM's new e-AAM technology. The vehicle will be produced in China for sale in the Chinese and European markets. The e-AAM hybrid and electric drive system is designed to improve fuel efficiency up to 30% and reduce CO2 emissions, while improving safety and providing ride and handling performance as well. We are excited to have successfully commercialized this new and innovative products technology. Together with our legacy expertise in the rear beam axle and our industry-first Disconnecting EcoTrac All Wheel Drive systems, we have a very competitive product portfolio to drive future sales growth opportunities for the company. Before I turn it over to Mike, let me wrap up by making a few closing remarks confirming our 2013 outlook. As we have previously discussed, AAM's 2013 outlook is based on the assumption that U.S. light-vehicle sales will be approximately 15 million units for the full year 2013. Based on this industry sales assumption and the anticipated launch timing of AAM's new business backlog, we are targeting full year 2013 sales of approximately $3.25 billion. Through the first 6 months of the year, we are on track to meet or exceed the 2013 sales target. In the first half of 2013, we targeted an adjusted EBITDA margin in the range of 11% to 12% of sales. AAM's actual first half adjusted EBITDA performance was 12.1% of sales. For the full year 2013, we are targeting an adjusted EBITDA margin in the range of 13% to 13.5% of sales. This implies further sequential improvement in AAM's profit margins in the second half of 2013 as compared to the first half results. Let me simply say that we are prepared to meet the challenge and look forward to reviewing our progress with you again in 90 days. That concludes my comments for this morning. I thank everyone for your attention today and for your continued support. Let me now turn the call over to our Executive Vice President and Chief Financial Officer, Mike Simonte. Mike?
Michael K. Simonte: Thank you, David, and good morning to everybody. I got, today, to cover the financial details of our second quarter results, so I'll get right to it, and we'll start with sales. Net sales in the second quarter of 2013 increased approximately 8% to $799.6 million as compared to $739.8 million in the second quarter of 2012. The year-over-year increase in second quarter sales relates primarily to gains in non-GM sales approximately $25 million in the quarter and higher content-per-vehicle in our North American light truck programs. In the second quarter of 2013, sales for all of our driveline product families, North American light truck, global light truck, commercial vehicle and the passenger car and crossover vehicle products, all of these product families were up on a year-over-year basis, and they were also up on a sequential basis. We feel great about that broad-based strength in our sales. As compared to the first quarter of 2013, AAM's sales in the second quarter of 2013 were up approximately $44 million. So the sequential increase in sales was $44 million. This sequential growth in sales relates primarily, again, to increased non-GM sales, approximately $35 million on a sequential basis increase and the recovery of GM sales in Thailand. Keep in mind that our first quarter 2013 sales were adversely impacted by a labor strike occurring at GM's Rayong, Thailand assembly facility. Those sales returned in the second quarter of 2013. Also in the second quarter of '13, in total, our non-GM sales increased by approximately 13% on a year-over-year basis to $224 million. In the second half of 2013, we expect the year-over-year growth trend in AAM's non-GM sales to accelerate, growing by as much as 30% as compared to the second half of 2012. The launch of AAM's new EcoTrac Disconnecting All Wheel Drive system and new content on the 2014 model year RAM Heavy Duty Series pickup trucks are the primary drivers of this non-GM sales growth acceleration. AAM's content per vehicle is measured by the dollar value of product sales supporting our customers' North American light truck and SUV programs. In the second quarter of 2013, AAM's content per vehicle was $1,554. This was $50 higher on a sequential basis as compared to the first quarter of 2013 and over $100 higher on a year-over-year basis versus the second quarter of 2012. New content we are providing to GM and Chrysler on their next-generation full-size truck programs, again, the K2XX and RAM Series Heavy Duty trucks, this was the primary driver of the increase, new content on these major North American light truck programs. Okay. Let's move now to profitability. Gross profit was $122.2 million, or 15.3% of sales. Operating income was $61.7 million, 7.7% of sales. Net income in the quarter was $25.8 million, as David noted, $0.34 diluted per share. In the second quarter of 2013, AAM's GAAP-derived EBITDA, or earnings before interest expense, taxes, depreciation and amortization, was $102.3 million for an EBITDA margin of 12.8% of sales. As David noted, this was 130 basis points higher on a sequential basis as compared to adjusted EBITDA in the first quarter of 2013. About half of the sequential improvement EBITDA for the first quarter of 2013 was due to the profit contribution from increased non-GM sales. The remainder of the sequential improvement in EBITDA for the first quarter -- I'm sorry, in the second quarter of '13 was due to the profit contribution from higher GM sales, lower launch preparation cost and improved production performance. On a year-to-date basis, for the first half of 2013, AAM's adjusted EBITDA was $188.9 million, 12.1% of sales. Adjusted EBITDA excludes the impact of debt refinancing and redemption cost we incurred in the first quarter of the year, in 2013, that is the only adjustment acquired to reconcile this non-GAAP measure from our GAAP-derived EBITDA results. On a sequential basis, AAM's adjusted EBITDA margin performance in the first half of 2013 was improved by almost 300 basis points, as compared to the second half of 2012. Two issues drive this improvement: Number one, it improved North American light truck sales mix. This is due primarily to higher production of GM full-size pickups and SUVs. I'm sure most of you remember, GM front-weighted production of this important product line in calendar year 2012 and in 2013, the quarterly run rate has been more steady and higher than the second quarter of 2012. Profit contribution from higher sales also accounted for a significant improvement in AAM's first half of 2013 EBITDA performance. Improved mix and profit contribution on higher sales, that's the first major driver of improvement in 2013. The second major driver of improvement in EBITDA performance this year versus the second half of last year is what we call improved production performance. Now this is due primarily to lower premium freight costs and improved results in Brazil. We've talked about these 2 matters extensively in public settings over the past year. So I won't get into more details at this time, but I will say this was the second major driver of improvement in calendar year 2013. We still have wood to chop in terms of achieving an even higher profitability target in the second half of 2013, but we're very pleased with the progress we've made so far this year. Bottom line, we told you what we planned to do and we're doing it. Let me anticipate a couple of questions you may have when you review our 10-Q for this quarter, the second quarter of 2013. In June, we announced our plans to demolish a significant portion of our Detroit Manufacturing Complex. In the second quarter of 2013, we recognized a net gain of approximately $4 million associated with the sales assets on this site, the Detroit Manufacturing Complex. As we work our way through the rest of the year, this net gain that we incurred in the second quarter of 2013 will work its way down. We will incur approximately $2 million of incremental cost to rearrange and redeploy other assets retained on this site. So for the year in total, we expect the net upside on this activity to be approximately $2 million, but it was $4 million in the second quarter of 2013. Also in the second quarter of 2013 and offsetting the impact of the lift associated with that gain, we recorded almost $2.5 million of foreign exchange losses. The U.S. dollar strengthened significantly and unusually for 1 quarter versus the Mexican peso, the Brazilian real and the Thai baht, and the movement in these currencies in the quarter drove this unusually high adjustment for our company. The net impact of these 2 items had no significant impact on our results for the quarter, but we thought we should point them out to you nonetheless. Okay. Before reviewing our cash flow results, let me quickly cover SG&A, interest and taxes, starting with SG&A. In the second quarter of 2013, SG&A, including research and development spending, was approximately $60.5 million, or 7.6% of sales. This was approximately the same at 7.5% of sales in the second quarter 2012 and 7.9% of sales in the first quarter of 2013. AAM's R&D spending the second quarter of 2013 was $27.3 million. This was comparing to $28.8 million a year ago and $28.5 million in the first quarter of 2013. As we previously discussed, we expect AAM's R&D spending to be lower in 2013 as compared to 2012, principally due to: number one, the timing of product valuation of prototype requirements to support the launch of new business awards. The timing of these activities weighted more heavily towards 2012 and 2013 from a spending perspective; and number 2, higher customer recoveries of ED&D cost, and just to be clear, I mean engineering design and development costs, that are absorbed by our customers. Now this is going to be much higher in '13 versus '12. And so these 2 matters drive the reduction in our R&D spending year-over-year. Net interest expense in the second quarter of 2013 was $28.6 million. This was up approximately $5.3 million on a year-over-year basis. Higher outstanding borrowings, due significantly to our elective pension funding in 2012, is the primary reason why interest expense is up on a year-over-year basis. And remember, our pension expense is down, so on a net basis, that transaction had no material impact on our earnings. And the final thing to comment here on is taxes. AAM's effective tax rate was approximately 17% in the second quarter of 2013, in line with our guidance of 15% to 20% for the full year. Although it had no significant impact on cash expense in the quarter, we did settle a transfer pricing audit in a foreign jurisdiction in the quarter. In connection with this audit settlement, we made a one-time tax payment of $4.7 million in the quarter. As a result of this audit settlement, our cash tax provision was about the same as our book provision in the second quarter of 2013. And that's notable, because in most quarters, for the next few years, we anticipate our cash tax provision to be much less than our book provision. Okay. Let's move on to the cash flow story for our company in the second quarter. We define free cash flow to be net cash provided by or used in operating activities less CapEx. And CapEx is reported net of proceeds received from the sale of equipment and sale-leaseback of equipment. GAAP cash provided by operating activities in the second quarter of 2013 was $60 million. Net capital spending in the quarter was approximately $56.7 million. Reflecting this operating activity and CapEx, AAM's positive free cash flow in the second quarter of '13 was approximately $3.3 million. Okay, let me cover a quick -- a couple of quick hitters on the balance sheet. AAM's EBITDA leverage, or the ratio of net debt to EBITDA, was approximately 4.5x at June 30, 2013, on an adjusted basis. This should improve by approximately 1 full turn by 2013 year end. AAM's EBIT coverage, or the ratio of EBIT to interest expense, was approximately 1.4x at June 30, 2013, also on an adjusted basis. This too should significantly improve by year end 2013 to more than 2x on an adjusted basis. And by the way, both of these credit metrics are calculated on a trailing 12 months basis. As to liquidity, AAM entered the second quarter of 2013 with total available liquidity of approximately $480 million, consisting of available cash and borrowing capacity on AAM's global credit facilities. AAM's liquidity position was increased by approximately $24 million in the second quarter of 2013 on a sequential basis. Before we start the Q&A, I will close my comments this morning by commenting on our 2013 outlook. Let me first say that we are not changing our guidance for 2013 today. Some companies like to set lowball targets, or at least that's what it looks like, at the beginning of the year just so they can increase guidance later in the year. We don't do that. When we established our 2013 outlook, we communicated our goals to increase sales by more than 10% on a year-over-year basis. As David said, we're on track to meet or exceed our sales target in 2013, with sales trending $2 billion or a little higher than $3.25 billion for this calendar year. When we first established our 2000 outlook -- 2013 outlook, we also communicated our plan to significantly improve EBITDA margin performance. The midpoint of our guidance range for adjusted EBITDA margin performance this year are 13.25% of sales, representing nearly a 150-basis-point improvement in profitability on a year-over-year basis. We understand investor expectations for our profitability are much higher in the second half of 2013 as compared to the past 4 quarters. We have higher expectations as well. Based on the progress we have reported for the first 6 months of the year, as well as the actions we have taken to prepare for increased sales activity in the second half of 2013, we believe we are well positioned to deliver on our commitments for higher sales and improved profitability. That's the end of my comments this morning. Thanks for your time and participation on the call today. I'm going to stop here, turn the call over to Chris and we'll be happy to take your questions.
Christopher M. Son: Great. Thank you, Mike, and thank you, David. At this time, we've reserved some time for some questions. So at this time, I'll turn it over to Nicole, so she can proceed and start the Q&A queue process right now.
Operator: [Operator Instructions] Your first question comes from the line of Brett Hoselton from KeyBanc.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: I wanted to first -- I wanted to talk about your margin progression into the back of the year and into 2014. Given your outperformance, even versus your own expectations, it kind of suggests that while you may still be in that 13% to 13.5% range, it kind of suggests that you would possibly push up into the higher end of that range. Is that a reasonable expectation or has, somehow, your performance expectations into the back of the year maybe deteriorated a little bit versus where you were 6 months ago?
Michael K. Simonte: It's Mike. Listen, our expectations for profitability have certainly not deteriorated from where we thought we'd be when we started the year. But we are pretty much in line with our expectations. We were ahead of our expectations in the second quarter. We still have a lot of work to do in the second half of this year to properly support much higher sales level activities, to support the K2XX launch. And you can see with sales activity, GM's going to be pushing on that pretty hard, and also with respect to the EcoTrac All Wheel Drive system that we have launching this quarter. A lot of work to do. We feel we're very well positioned. We're going to see significant increases in our performance. Brett, as you know, our guidance implies a margin over 14% for the second half of this year. And if we can accomplish that, we're going to be very, very pleased.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: And as we think about your margin progression, let's say from the second half of this year into 2014, the major headwinds and tailwinds that you see driving gross margins may be higher or lower?
Michael K. Simonte: Brett, the issues in 2013 that we have relative to earnings challenges clearly related to launch. We have substantial launch-related activities this year. Those activities will persist into the first quarter of 2013 on the K2XX launch. But the complexity associated with managing different program activities in the Mexico plant, for example, and the early days of supporting the EcoTrac launch, which, as you know, has been delayed for a couple of months, we're facing more headwinds this year than we expect to see next year. Now on the other hand, we do expect some moderate commodity inflation to affect our material costs and we will see moderate wage inflation impacting our labor and wage cost. But big picture, we think we're very well positioned to achieve our targets for the second half of 2013 and roll right into calendar year 2014 and a nice strong position from a profit profile perspective.
Brett D. Hoselton - KeyBanc Capital Markets Inc., Research Division: And then finally, just on the Brazil, can you talk about -- if about half of the 130 basis points sequential improvement was due to some improvement in Brazil and Mexico and launch costs and that sort of thing, can you kind of quantify the Brazil, where you were first quarter, where you were the second quarter, the improvement and then potentially your glide path as you move into the back half of the year?
Michael K. Simonte: Yes, absolutely, Brett. First of all, the comment and the question that you're asking relates to our year-to-date performance, 6 months 2013 versus the back half of 2012. And about half of that improvement, from roughly 9.3% EBITDA margin second half of last year all the way to 12.1% first half of this year, about half of that improvement relates to production performance. And the 2 major categories of activities here I've mentioned were premium cost reduction, premium freight cost reduction. That was about $10 million improvement sequentially. And then the improvement in Brazil. Brazil had recovered in the first quarter of this year to a very slight gross profit loss. We were steady in the second quarter. We see that turning around and improving again on the positive side of around a breakeven performance in the second half of this year. But, Brett, what that means is a $15 million improvement sequentially in our Brazilian operating profit performance. It was a tough back half of last year for a variety of reasons. But we put those issues behind us, and now we're more focused on improving our profit performance in Brazil in 2014 and 2015 by focusing, not only on the manufacturing stability activities that we've been successful at this year, but pricing initiatives and, very importantly, local sourcing of key components right now we're bringing over the border by incurring too many premium logistics costs to this and other costs that we can optimize by localizing. So the game plan for Brazil is really the same as what we've been discussing now over the past 6 months. But we're executing and feel very good about our trajectory here.
Operator: The next question comes from the line of Rod Lache from Deutsche Bank.
Rod Lache - Deutsche Bank AG, Research Division: There was a comment, I think, on your first quarter conference call that you expected may be a 150- to 200-basis-point improvement in margins from the first half of this year to the back half of this year, as a result of lower launch-related costs, is still in line, or was some of that pulled forward into the second quarter?
Michael K. Simonte: Yes, Rod, our operating team did a good job of minimizing the launch preparation costs in the second quarter. Some of those costs were deferred to the third quarter, in particular, associated with the EcoTrac All Wheel Drive system launch. Again, that program launch was materially delayed by about 2 to 3 months. And so we are going to incur those types of start-up expenses in the third quarter versus the second quarter. But we should be pretty close to that range, Rod, of 150-basis-points improvement in the second half there. That's really a material change. But the contribution margin from higher sales clearly will help our second half performance. We'll get better capacity utilization on a number of our launched programs, including the K2XX, but the launch preparation cost mitigation is going to be significant as well.
Rod Lache - Deutsche Bank AG, Research Division: Okay. And you've alluded to these customer delays before, but you didn't really change your full year revenue guidance. Is there something that is mitigating the slight decline in backlog this year?
Michael K. Simonte: Yes, yes. Rod, as David mentioned in his comments, we're benefiting significantly on the strength of the North American pickup truck markets. So strength in the K2XX, GMT900 programs and strength in the RAM Heavy Duty series program is really offsetting the weakness, if you will, or the delay -- it's not really weakness, but the delay in the launch of that program.
Rod Lache - Deutsche Bank AG, Research Division: But what's your view on the production of that platform as you look at the back half of this year relative to what you were running at, do you have any comments on that?
Michael K. Simonte: I'm sorry, which program are you referring to?
Rod Lache - Deutsche Bank AG, Research Division: That combined K2XX and T900.
Michael K. Simonte: The quarterly progression, we don't expect to change a whole lot. We were around, if I recall correctly, 270,000 units in the first quarter and just a little bit short of that in the second quarter. So we might expect -- at this point in time, we expect maybe a couple more quarters in that area. I can't recall, Rod, whether it was you or one of the other guys that pointed out that inventory levels are moderating for General Motors. They might even be in a position by the end of the year and have some lower levels of inventory on some key models. And so we expect GM to push hard on that program in effort to be preparing for launch at 2 facilities in the first quarter of 2014, so we might expect the third quarter to be a little stronger than the fourth quarter. But right now, Rod, we are doing -- we are very pleased. We're working hard to meet that demand and help them push as fast as they want to go.
Rod Lache - Deutsche Bank AG, Research Division: All right. One last one. Any just high-level thoughts on how we should be thinking about CapEx and working capital in the back half, and then just, maybe just super high level, the outlook for 2014 on those measures?
Michael K. Simonte: CapEx, we're still in our guidance for this year and our expectation is right around 7% of sales. So CapEx, we did expect CapEx to be a little bit higher in the second quarter, but we, again, were able to defer some activity and spending because of the launch delays and other activities that our guys have done to improve productivity on our existing machinery equipment. But we do see CapEx around 7% this year. We do expect CapEx, Rod, to moderate over the next couple of years. We don't have any different thoughts about that from what we've communicated previously, but we do probably expect to be spending around the higher end of the 4% to 6% range for at least the first 6 months of next year, maybe for the whole calendar year, but then to moderate something a lot closer to 5% as we move forward. That's a critical part of our de-leveraging process, and the launch cadence for us is very, very heavy, as we pointed out. The total dollars of launch in the next 2 years have spread out a little bit, but most of those programs are in critical validation stages during this calendar year or actually, start launching this year. And so much of the spend, whether it's CapEx or product validation, process validation, these types of activities, much heavier-weighted towards '13 and '14. So that's going to help us moderate expense as we go. Working capital, we don't see any unusual fluctuations in working capital second half of this year versus first half of this year. We are incurring some higher receivables associated with rebuildable tooling. Some of that will be -- a lot of that will be collected in the second half this year. Some of that may roll into the first half of next year. I think it's the only oddball item that's not directly related to our sales activity. But inventory, we've done a pretty good job of managing inventory. Our sales are up enough that we might have expected inventory to be up more than $10 million, but because we had more inventories in the system last year, we've been able to moderate inventory growth this year, and that's been helpful.
Operator: You're next question comes from the line of Itay Michaeli from Citi Financials.
Itay Michaeli - Citigroup Inc, Research Division: First, I want to follow up to Rod's question, can you share with us, first, what your 2013 production assumption is for the combined K2XX, T900? And then with some of the movements in the backlog, is $550 million still a decent 2014 outlook here or has it -- that moved around as well, up or down?
Michael K. Simonte: Itay, we're not in a position to provide any update on our 2014 backlog. We've disclosed that as recently as June, and we just don't have any updates today. We'll be working on our budget for 2014 in the next couple of months, and we'll provide an update on that later this year. But relative to the K2XX, GMT900, our guidance of $3.25 billion for calendar year 2013 is predicated on something around 1,050,000 units. But as I just mentioned in answering the question for Rod, we could see that, and I think at this point in time, we think it's likely that it pushes ahead of that a little bit. So if the first quarter was $2.70 million and we run roughly at that level for the year, we'd be around $1.80 million, which is pretty close to what I know IHS has been communicating and noticed in the supply chain they're planning for. We do see higher volumes in that program, certainly, over the course of next few quarters. And if we run to $1.80 million, both David and I alluded to the fact that our sales may get ahead of $3.25 billion. That's going to be the reason why.
Itay Michaeli - Citigroup Inc, Research Division: Got it. That's very helpful. And then 2 kind of quick housekeeping. One, Mike, can you just walk us through how we should think about the tax rate in the second half of the year? And also just with the pension dynamics improvement, I know you funded most of the underfunded with debt, but just if you have any sensitivities or update on how you're thinking about the pension in light of some of the tailwind we've seen year-to-date.
Michael K. Simonte: Okay, let me just -- that second question first because we feel pretty darn good about our pension situation at the moment. What we did last year, Itay, was prefund. And clearly, we moved [ph] 3 years of funding forward on our U.S. and U.K. to fund benefit pension obligations. It's certainly possible depending on actuarial assumptions and asset returns that we can be clear of any material contributions for a period of up to 4 or 5 years, but almost for sure, we've cleared out the first 3 years. Based on what's happened this year, asset returns have been good and so are certainly in line with our expectations, but the discount rate has moved quite a bit. And so our funded status has improved significantly during this calendar year. We don't have official actuarial support for this, but the estimates that our actuaries have shared with us suggest that the funded status is at or just above 90%, which would be a substantial improvement. So we feel real good about that. We see no reason to be anything but pleased with the activity there. And quite frankly, our plan to let asset returns and discount rates do to work for us for the next couple of 3 years is right on track. With respect to tax, really, again, the guidance in the commentary we've provide today is the same as what we've been saying. We did have this settlement of an audit, which accelerated a cash payment. Maybe it would have been made second half of this year; maybe it would have been made next year, probably more likely next year. But the book provision is expected to be in the range of 15% to 20% this year, Itay, and we would expect that to be reflected in our second half of 2013 results.
Operator: You're next question comes from the line of Joe Spak from RBC Capital Markets.
Joseph Spak - RBC Capital Markets, LLC, Research Division: I had a little bit of a longer-term question on your goal to eventually get to 50% non-GM sales. I think you had a 2015 target out there, and I think you alluded to some stronger growth in the back half of this year. But given the fact that the core business, which -- or really the GM pickup trucks, is so much stronger than expected, does that change your thinking in the out years at all, or maybe even for this year's target? Or are some of the volume assumptions associated with the non-GM business coming up as well?
David C. Dauch: Yes, Joe, this David Dauch. To answer your question, no, it doesn't change the objectives that we had even with the higher volumes. There's a number of opportunities that we have out there that are substantially non-GM opportunities. We've got about $1.1 billion of quoted and emerging opportunity that's out there. So even with the higher GM volumes, we are still targeting parity of our non-GM and GM sales by 2015 period of time, including some of our joint venture growth in sales as well.
Michael K. Simonte: Joe, what I would comment on, mathematically, when we started talking about our non-GM goals back even as late as 2009 and really, the strategy that we're deploying today is still very closely aligned with the strategy that we announced and communicated and designed, really, in that 2009 time period. The goals for GM -- non-GM sales concentration predicated much lower GMT900 full-size pickup and SUV demand. So mathematically, it's more difficult to get there and, quite frankly, if we had adjusted on an apples-and-apples basis, those targets of 40% by 2013 and 50% by 2015 way back in 2009, we'd probably be at something more like 35% to 45%, based on the strength of the GMT900 program. But I would tell you, this is a high-class problem. This is a very strong foundational portion of our business. We couldn't be happier for GM and the success they are having launching these products, and, of course, what it means to the supply chain. So our goal all along has been to increase our non-GM sales percentages while growing and supporting GM on higher volumes. That's what we continue to do. And if we get to 2015 and we're around 45% instead of 50% and the reason is very strong full-size truck production at GM, we'll be just fine with that. But we'll still keep focus, as David pointed out. We'll still keep focus on the longer-term goal of increasing and growing faster with other customers, and we feel very good about that for our longer-term outlook.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay. You also did mention the EcoTrac delay, is it possible to quantify how much of a headwind that's been?
Michael K. Simonte: Well, what I'd tell you is this. We have 200 people employed in our Three Rivers manufacturing facility to support this program. These people and all the intended overhead structure have been in place, and we're eating that cost for the time being. So it's not insignificant, but it's part of the business. They are launch delays all the time. We're trying to use this time to our advantage to up the ante in terms of training and preparation for go time, because that's just around the corner here in terms of much higher production volumes on that program. But the fact of the matter is it's costing us millions of dollars a quarter in the meantime.
Joseph Spak - RBC Capital Markets, LLC, Research Division: Okay. And then last one for me. Just last quarter you mentioned R&D was down and some of that was the timing of the validations and higher recoveries. Any change there or is that still expected to be down a little bit in the back half of the year?
Michael K. Simonte: Yes. No, it's going to be down for the reasons -- same reasons we said last time, same reasons I've said a few minutes ago. Now the timing of the product validation activities is lower this year than it was last year. Keep in mind, those tend to be 2 and 3 years before launch and now we're a year later than the average cycle for launch, and so that activity is just a little bit less. But what also is affecting the R&D spend this year is the recovery of money from our customers, which has just led to the significant factor of 2012. It is in 2013, so that's just pushing our spending lower. And I think we're closer to 4.5% of sales last year, which I think will be a high point. We're going to be around 3.5%, something closer to 3.5% here this year, and probably going forward.
Operator: Your next question comes from the line of John Murphy from Bank of America Merrill Lynch.
John Lovallo - BofA Merrill Lynch, Research Division: It's John Lovallo, on for John Murphy. I guess the first question would be kind of a higher level. I mean, truck sales are up about 11% -- 11.8%, 11.9% year-to-date, and if you look at gas prices they're up about 10% over the same time period. I guess the question would be do you think consumers are becoming somewhat less sensitive to the changes in gas prices, or is this really kind of just a replacement cycle kicking in?
David C. Dauch: John, this is David Dauch. I'd say a couple of things. I think all of consumers that have kind of rebalanced their appetite for energy costs and all that, based on what's transitioned over the last couple of years. At the same time, I think the marketplace has set itself, those people that need to buy trucks, they need to buy trucks because they need it for their profession of some sort, whether it's the construction business, the agricul business, the housing business, whatever it may be. So I think there's going to be a solid market there regardless of where the prices go, as long as it doesn't get too out of line.
Michael K. Simonte: The other factor that's, we believe, very critical in this tradeoff, the average age of the truck in the fleet here in North America pushing 11 years at the beginning of this year should be coming down now based on the strong sales we've seen, but not dramatically. The point is this, if you compare the fuel efficiency of a truck today to a truck 11 years ago, they're dramatically improved. So while gas prices are up, the out-of-pocket gas cost is probably not -- not upward. It is much, much lower than the rates of inflation that you commented on. So we see the truck buyers, as David pointed out, acting more on their utility requirement and any concern about gas prices up or down.
John Lovallo - BofA Merrill Lynch, Research Division: That's very helpful. The next question would be on -- one of the initiatives that you guys have been working on is localizing the supply base in South America, so any update on kind of the progress there?
David C. Dauch: Yes, again, this is David Dauch. We're making very good progress. So we're not completed with all of our activity this time because there are certain suppliers and products that we need to go through some more extensive validation, both internally in our own labs and, potentially, even with some of customers. But again, as Mike said, our operations and our financial performance continue to improve in Brazil. It's largely based on stabilizing the operations, eliminating the premium freight and then the big thing that we've been working hard on the second quarter, and will continue into the second half of this year, is the localization of that supply base and the material cost. But we got to do it with product integrity as well, and we're making sure that we abide by all the appropriate rules that way. So and then on the other side, on the Brazilian side, as Mike also commented, was that we had some commercial issues that we're also dealing with our customers with respect to some pricing items.
John Lovallo - BofA Merrill Lynch, Research Division: Great. And the last question would be, Mike, just a point of clarification, you mentioned that R&D, on a year-over-year basis, will be down. But how should we be thinking about R&D in the back half versus the first half? I apologize if I missed that.
Michael K. Simonte: Well, the run rate should be a little bit lower -- not dramatically lower, but I think we would expect our run rate to be a little lower as we get into the back half of the year. And, John, I'll tell you, the primary reason for that is the timing of the customer ED&D recoveries. They're a little bit more back-weighted based on the nature of activity that we're involved in. Our total headcount supporting this activity not really changed too much first half to second half. But changes in the material cost component of our work and the ED&D cost recoveries drive the expense a little bit lower. And that expense, I should say, a little bit lower in the second half of the year versus the first half.
Operator: Your next question comes from the line of Brian Johnson from Barclays.
Steven Hempel - Barclays Capital, Research Division: It's actually Steven, hopping on for Brian. Just a follow-up to Rod's question on the backlog. It looks like backlog might have come in a little bit weak this quarter I would expect or imagine due to that EcoTrac disconnecting All Wheel Drive platform, that program delay there. Just wondering how you see that playing out. I believe you called out in the past roughly a $25 million headwind to 2013 backlog. I'm just wondering if the offsets from the heavy-duty Dodge RAM pickup program, as well as K2XX should be able to offset that, or if it's still going to be an incremental headwind to 2013 backlog?
David C. Dauch: Steven, this is David Dauch. That question was asked earlier actually, and we do expect the sales from the GMT900 and K2XX, as well as the RAM Heavy Duty pickup truck, to offset some of the delays that we're experiencing with respect to the EcoTrac disconnect in All Wheel Drive. So the answer is yes, to your question.
Steven Hempel - Barclays Capital, Research Division: Okay. And then should that spill over into -- that roughly $25 million, should we expect that to spill over to 2014?
David C. Dauch: Again, we haven't updated our backlog. We'll do that in the coming months here. But we're still projecting the $1.25 billion over the three-year period of time and clearly, some of that $25 million will move into the '14 and '15 calendar year. We're just not updating it right now.
Steven Hempel - Barclays Capital, Research Division: Okay, and then second question. In terms of K2XX production, it looks like consensus IHS is roughly estimating about a 20% increase year-over-year in 3Q '13. I believe, if I recall correctly, back in 1Q '12, there was a significant increase year-over-year in production. I'm just wondering if you have learned from that instance back in 1Q '12, because I believe there was some higher premium freight costs and labor costs associated with that, if you guys are going to be able to mitigate those higher productions in 3Q '13, as well as a significant ramp-up?
David C. Dauch: Steven, there's a major difference between our operating condition in the first quarter of 2012 and the third quarter of 2013. And we said, in the first quarter of '12, what that change would be and how it would be better for us to handle higher volumes now than before. The major difference is that we are capacitized to higher volume, our supply base is capacitized to higher volume and we expected it and had time to plan for it. This is not unusual or unexpected. In the first quarter 2012, the scenario was completely different. It was a onetime blip, really, in activity so that GM could manage the downtime required in their facilities to prepare for this year's launch, and we didn't have very much time in the supply base to plan for it, so we made short-term accommodations to support that requirement and that meant more premium costs and outside services as opposed to more cost-efficient longer-term strategies that we're deploying today. So the answer is yes, we would expect to be much better this time around. This time around, we do have some headwinds associated with watching the program and managing both GMT900 and K2XX activity. We've talked about that. It's no better, and certainly no worse than what we had anticipated. For me, what you'll see is our margin performance improve a little bit fourth quarter versus third quarter, 2014 versus '13 as we step up to these higher volumes. But this scenario is much different, 3Q '13 versus 1Q '12.
Steven Hempel - Barclays Capital, Research Division: Okay, great. That's very helpful. And then in terms of the overall margin guidance of 13.0%, 13.5%, obviously, that's predicated on a little bit lower GMT900, K2XX production. As we see increased volumes here, I mean, I believe the consensus is around 1.05, 1.08, roughly around that area. Is it reasonable to assume that based on the higher production builds that are going to be expected, that we could see some higher operating leverage in the back of the year and potentially eclipse that 15.5% EBITDA margin guidance?
Michael K. Simonte: I think it's reasonable to assume that our guidance has not changed. We're guiding to 13% to 13.5% this year and that contemplates everything we know. When we have more to say about that, we'll let you know.
Operator: Your next question comes from the line of Ryan Brinkman from JPMorgan.
Ryan Brinkman - JP Morgan Chase & Co, Research Division: So there've been a couple of questions already on K2XX and GMT900 production. I'll just ask you a couple more. Firstly, it looks like, from the June to July forecast, IHS significantly upgraded their 2014 outlook. It looks like they bumped the pickup production by 56,000 units. Is this sort of roughly consistent with your own thinking?
Michael K. Simonte: No. What's completely inconsistent with our thinking, Ryan, is we don't make big adjustments on a month-over-month basis very often. We've been planning with GM and, of course, GM has been planning internally and done a great job of communicating with its supply base a very consistent message around production capacity expectations for this program for years. The expectations we have for next year are no different than they were a quarter ago, a year ago, or 2 or 3 years ago. Our total capacity in the system to support this program at straight time is around 1.15 million units. Practical capacity is much higher than that. IHS has been jumping all over the place in the last couple, 3 years, trying to forecast this program. I don't -- I did not know that they increased their volumes the way you just described. But from our point of view, the situation is consistent, stable, strong and we've all been prepared for much higher production volumes in 2014. That's still true today.
Ryan Brinkman - JP Morgan Chase & Co, Research Division: Okay. Great, that's very clear. And then just maybe a little bit more nearer-term question on the same matter. I think in response to maybe Rod's question earlier, you suggested that you could kind of see a 270,000 sort of quarterly build over the next couple of quarters, and that's consistent with, I think, the consensus. Would it imply only about an 8% year-over-year increase in the back half of '13? And I know that they've got some late-model inventory they need to work through, and maybe their capacity constrained because of the changeover. But we just keep seeing these monthly sales numbers. Yesterday, the Silverado and the Sierra are 37% year-over-year. So how much longer can production be up 8% and sales up 37% without providing significant upside risk to the back half here?
Michael K. Simonte: That sounds like a question better directed to GM. What I can tell you is that we're very pleased to see GM's success with these products. They're doing great. We see that as a call to action internally, to be prepared to push as hard as we can to support higher production volumes. So we are taking actions necessary to do just that, Ryan. I think you're right on in one point you made, and that is that there's still a lot of work to do throughout the entire supply chain, including each assembly plant, to step up to a full launch of the K2XX. They're working on the second of 2 -- I'm sorry, 4 facilities right now. They're going to be taking time in the second half of this year to prepare the final 2 assembly plants to step up to those higher volumes. So maybe there's going to be some limitation on activity for a little while, but we are ready to support much higher activity in 2014.
Ryan Brinkman - JP Morgan Chase & Co, Research Division: Okay. And then my last question is just on commodity prices. I mean, obviously, there's week-to-week movements just recently. But generally, throughout 2Q, we did see a nice decline in commodity cost for some of the ones I think you're most leverage to. And a couple of other suppliers have called out a little bit of tailwind there, relative to their expectations. So I'm just curious what you see commodities doing for you in the back half of the year. And maybe just use the opportunity to kind of remind us how it works, right? How much of the change in the commodity costs are absorbed by you versus your customers and is that any difference over the near term versus the long term?
David C. Dauch: Ryan, this is David Dauch. With respect to the commodity prices, we don't see any change in regards to what we've guided you all in the past. We have solid agreements in place with all of our customers in regards to passing through some of the material escalation that takes place there. And at the same time, we have contracts with our supply base, in some cases, annualized contracts and others multi-year contracts. But based on what we've talked to you all about before and what our guidance is, there's no change from a commodity pricing standpoint right now.
Michael K. Simonte: There's one additional point, Ryan, that I might add and that is that the stock buy markets, or the commodity markets, that drive the input cost, the raw material input costs, to our supply chain, generally, that's exactly what's passed through the customer. And David made the point that the elevation in those costs are covered by the customers, but so is the reduction in those cost pass through -- the benefit is passed through to our customers. So for us, our agreements with our suppliers are definitely longer term in nature, not subject to a lot of volatility quarter-to-quarter, a little bit more opportunity on a year-over-year basis. When we get to the end of this year and we settle and properly establish those expectations for '14, we can provide you more guidance. But I think David said the most important thing, there's no change in our expectations right now.
David C. Dauch: Great, Ryan. We've got time for one more question.
Operator: Your next question comes from the line of Ravi Shanker from Morgan Stanley.
Ravi Shanker - Morgan Stanley, Research Division: Just one question left. Can you help us with understanding where the RAM HD program has margins and CPV better than the corporate average?
David C. Dauch: Okay, so the RAM Heavy Duty program for us does have content characteristics that are higher than average. As you know, for our involvement in that program, it is 100% exclusively the heavy-duty portion of the pickup range, whereas for the other programs, we support both light-duty and heavy-duty. So the content is higher. We're not in the business of talking you about margin nonspecific programs. We have an effective and proper contribution on that program, but I'm not going to comment. There's no significant variance from corporate average to comment on.
Ravi Shanker - Morgan Stanley, Research Division: Understood. And is that program still ramping or is it at the run rate?
David C. Dauch: Well, there's 2 aspects of that program. We helped Chrysler introduce sort of a midyear enhancement for the 2013 model year at the beginning of this year. And then a second launch for us is to support the 2014 model year, which is occurring right now, and we're working very closely with Chrysler and the rest of the supply chain to support that.
Christopher M. Son: Great. Thanks, Ravi, and we thank all of you who have participated on this and appreciate your interest in AAM. We certainly look forward to talking to you in the future.
Operator: This concludes today's conference call. You may now disconnect.